Operator: Good day ladies and gentlemen, and welcome to the Exelixis' First Quarter 2016 Financial Results Conference Call. My name is Rhonda, and I will be your operator for today. As a reminder, this call is being recorded for replay purposes. I would now like to introduce your host for today conference Ms. Susan Hubbard, Investor Relations. Please proceed, ma'am.
Susan Hubbard: Thank you, Rhonda, and thank you all for joining us for the Exelixis' first quarter 2016 financial results conference call. Joining me on today's call are Mike Morrissey, our President and CEO; Gisela Schwab, our Chief Medical Officer; P.J. Haley, our Vice President of Commercial; and Chris Senner, our Chief Financial Officer who will together review our corporate, development, commercial and financial progress for the quarter ended April 1, 2016, as well as recent key development and corporate events. Peter Lamb, our Chief Scientific Officer is also with us and will participate in the question-and-answer session of this call. As a reminder, we are reporting our financial results on a GAAP basis only and as usual the complete press release with our results can be accessed through our website at exelixis.com. During the course of this presentation, we will be making forward-looking statements regarding future events and the future performance of the company. This includes statements about possible developments regarding clinical, regulatory, commercial, financial and strategic matters. Actual events or results could, of course, differ materially. We refer you to the documents Exelixis' files from time-to-time with the SEC, which under the heading Risk Factors identify important factors that could cause actual results to differ materially from those expressed by the company verbally and in writing today, including without limitation, risk and uncertainties related to the commercial planning, product commercial success and market competition, uncertainties related to the availability of data at the reference times, risk and uncertainties related to the regulatory review and approval processes, risk associated with conducting clinical trials and compliance with applicable regulatory requirements, risk and uncertainties associated with the Exelixis dependence on its collaboration partners and ability to maintain its rights under existing collaborations and risk regarding Exelixis' financial outlook and the sufficiency of the Company's capital and other resources over time. With that, I will turn the call over to Mike.
Mike Morrissey: All right. Thank you, Susan, and thanks to everyone for joining us on the call today. I’ll provide a brief overview of the key events from the last few months and then turn the call over to Gisela, P.J., and Chris who will give more details on our development activities, initial feedback on the CABOMETYX launch, and our Q1 financials respectively. Obviously it's been a very busy and highly productive time for the company. I think it's safe to say that we have reached a critical inflection point in the company's history and we are ready to take things to the next level as we move forward into the second quarter and beyond. Key events from the first quarter and April includes first, a partnership with Ipsen for the ex-U.S., ex-Canada and ex-Japan rights for cabozantinib in which we gained an experienced and enthusiastic partner and a $200 million upfront payment. Second, the build-out of our commercial group in the medical affairs team allowing us to be launch ready by April 1. Third, the acceptance of 18 abstracts featuring Exelixis discovered compounds for presentation in ASCO. And fourth and finally the FDA approval for CABOMETYX in advanced RCC on April 25 with the concomitant release of the METEOR overall survival data in the USPI. We are delighted to be able to provide CABOMETYX the brand name for cabozantinib tablets to patients with advanced RCC and their physicians, now that we have secured FDA approval. We are very pleased with the CABOMETYX label, which includes robust overall survival data, completing a trifecta of benefit in all three key efficacy endpoints. Overall survival, progression free survival and objective response rates, as Gisela will discuss shortly. With that foundation in place, our last 9 months have been a period of very intense growth across the organization. Our RCC commercial and medical affairs teams are fully staffed, extensively trained and now in the field meeting with physicians. We are thrilled with their experience, expertise and energy and we believe we are in an ideal position to compete aggressively in the RCC marketplace. Simply stated, we have built a great team that complements the great data obtained from the METEOR trial. Following up from our approval call last Monday, I’m pleased to tell you today that we have CABOMETYX in the distribution channel and filled the first CABOMETYX prescription within 3 days of approval. I want to congratulate our manufacturing, procurements, market access and sales teams for moving at nearly light speed to get this done in record time for a company of our size. Also given the approval of CABOMETYX, we feel it's now the appropriate time to share more details on our prior experience with cabozantinib as a treatment for patients with advanced RCC. Both P.J. and Chris will provide additional color on this topic shortly. Before they do however, I would like to place the information on our accumulated cabozantinib RCC experienced in context. First, I want to be very clear that the spontaneous HCP prescribing of cabozantinib for RCC has occurred without any tactical or strategic influence or initiative on the part of Exelixis. We do not and we will not promote our products outside of the FDA approved labeling. Also we do not intend to update this information on a regular basis. Since the initial data on cabozantinib's activity in advanced RCC patients emerged from our Phase 1b drug-drug interaction study, we have seen significant spontaneous interest from a wide range of physicians in prescribing cabozantinib for RCC. As a matter of fact, the first prescription to be filled after cabozantinib's approval for MTC was actually for a late stage RCC patient. This spontaneous RCC prescribing offered the team a valuable opportunity to understand this market, setting the foundation upon which we are now starting to build with CABOMETYX. The company is energized by the approval of CABOMETYX and excited to bring a novel medicine to RCC patients in need. CABOMETYX data is robust and provides a compelling platform for us to compete in the advanced RCC market. We'll be working hard to help literally every available and appropriate patients with every new script, every new fill and refill on everyday going forward. So with that, I’ll turn the call over to Gisela.
Gisela Schwab: Thank you, Mike. I will begin my update with a brief overview of our very recent [indiscernible] approval for CABOMETYX for the treatment of patients with advanced RCC who have received prior anti-angiogenic therapy. I will also cover the current status of our ongoing development program with cabozantinib and then focus on the upcoming presentations at ASCO in early June, 2016. CABOMETYX was approved by the FDA on April 25 of 2016 for the treatment of patients with advanced RCC who have received prior anti-angiogenic therapy. Starting dose is 60 milligrams daily. As Mike said earlier, we are very pleased with the label and believe it will allow physicians and patients with advanced RCC to consider CABOMETYX in the context of other therapies. The approval of CABOMETYX is based on data from METEOR, the randomized open label global Phase 3 pivotal trial comparing cabozantinib and everolimus in 658 patients with advanced RCC who had previously received at least one prior VEGFR-TKI. Patients could have received other prior therapies including cytokines and antibodies targeting VEGF, the P one receptor or its ligand, PDL1. There was no upper limit on the number of prior therapies. The USPI which can be found at www.cabometyx.com covers all three efficacy endpoints showing statistically significant and clinically meaningful improvement for CABOMETYX compared with everolimus in the METEOR trial. The primary endpoint of PFS assessed among on the first 375 patients randomized showed a highly significant improvement in median PFS for cabozantinib with 7.4 months compared to everolimus with 3.8 months with an HR of 0.58 and a P value of less than 0.0001. The secondary endpoint of objective response rate and overall survival were both assessed among the ITT population that is all 658 patients involved. Both objective response rate and overall survival showed highly significant and clinically meaningful improvement for CABOMETYX compared to everolimus. The median overall survival on the CABOMETYX arm was 21.4 months compared to 16.5 months on everolimus for an HR of 0.66 and a P value of 0.0003. This equates to a reduction in the rate of death of 34% and a 30% extension in the duration of survival. The safety profile shown in USPI is reflective of the profile previously published in the New England Journal of Medicine and the most frequent all causalities, adverse reaction observed in greater than or equal to 25% of patients were in order of decreasing frequency, diarrhea, fatigue, nausea, decreased appetite, hand-foot syndrome, hypertension, vomiting, weight decrease and constipation. In summary, the U.S. approval for CABOMETYX represents a very important advance for the clinical community that treats advanced RCC. For the first time a therapy has demonstrated robust and clinically meaningful improvements in all three key efficacy parameters, Overall survival, progression free survival, and objective response rate in a large pivotal Phase 3 trial of advanced RCC. At the same time, we believe CABOMETYX has a predictable side effect profile that physicians are familiar with and know how to manage through dose reductions to help patients stay on therapy. Let me now turn to the development of cabozantinib and other indications. Our ongoing Phase 3 study in second line treatment of hepatocellular cancer or HCC continues to accrue patients globally. The trial called CELESTIAL is a randomized placebo controlled study evaluating cabozantinib versus placebo in patients with advanced HCC who have received prior sorafenib. The primary end point of the trial is overall survival and we continue to expect results for this study in mid 2017 timeframe. Additionally to our in-house development efforts, our ongoing investigative sponsor trial or IST program and the CTEP program spend a total of 45 planned or ongoing trials. This include randomized Phase 2 trials as well as single agent studies and combination studies with targeted agents, as well as immune checkpoint inhibitors in a variety of indications. A randomized Phase 2 study in first line advanced RCC is currently ongoing in the cooperative group known as the alliance under the CTEP IND. The CABOSUN trial compares cabozantinib versus sunitinib in first-line therapy of intermediate or poor risk patients per the standard risk classification. The primary endpoint is progression free survival and the study achieved at the target enrollment of 150 patients in March of 2015. Given the study is conducted independently by a cooperative group, we don't have the exact details on timing of data availability but are expecting results with study in 2016 time frame based upon the historical duration for PFS in this setting. While this trial is not designed to be a label enabling study, it may provide insight into the potential of cabozantinib and the intermediate or poor risk population in the first-line setting. In addition, our CTEP collaborators are conducting a Phase 1b study evaluating the combination of cabozantinib plus nivolumab with or without ipilimumab in patients with genitourinary cancers including RCC. This study was opened for enrollment in July of 2015 and continues to actively accrue patients. Data on the tolerability and anti-tumor activity of the combinations studied in this early phase trial could set this stage for later phase valuation not only in the genitourinary setting, but in other areas as well, like non-small cell lung cancer and histologies that appear sensitive to both agents. We anticipate the data from this study will be available this year as well. Results from the CTEP program and our ongoing IST trials are expected to inform prioritization of our future development efforts and we are looking forward to updating you on progress with these trials as appropriate. In fact, some of these trials will be the subject of presentations at the upcoming ASCO conference in early June. At the 2016 ASCO conference, there will be a total of 18 abstracts covering Exelixis covered compounds. 9 abstracts will cover cabozantinib results. Importantly, there will be the oral presentation by Dr. Toni Choueiri on June 5, during the GU oral presentation session. And this presentation will cover the details including patient sub group group analysis on the overall survival results from the METEOR Phase 3 study. Other cabozantinib presentations will highlight PFS sub-group analysis of the METEOR study including a presentation by Dr. Escudier on the sub-group of patients with bone metastasis, a presentation by Dr. Powles on the sub-group of patient by prior therapy and that is patients with either sunitinib or pazopanib as their only prior VEGFR TKI therapy and patients who had previously received PD1 or PD01 inhibitors. And a presentation by Dr. Lacy on population pharmacokinetics and exposure response modeling based upon the METEOR trial results. Additionally, there will be various presentations of IST and CTEP trial results including results from Phase 2 studies of cabozantinib and bladder cancer by Dr. Apolo and endometrial cancer by Dr. Neesha Dhani and of the combination of cabozantinib and panitumumab in colorectal cancer by Dr. Strickler. Dr. Duda will present data on the effect of cabozantinib treatment on circulating immune cell population in patients with metastatic triple negative breast cancer. And Dr. Somwar will present on MDM2 amplification to mediate cabozantinib resistance in patients with advanced RET-rearranged lung cancers. Further presentation of clinical trial results of Exelixis-Discovered Compounds include 8 presentations covering cobimetinib results, including an oral presentation of results of clinical activity and safety for the combination of cobimetinib and atezolizumab in colorectal cancer. Four presentations on additional analysis of cobimetinib and vemurafenib in the BRAF-mutant melanoma program and initial results from the ongoing Phase 2 trial of cobimetinib and paclitaxel in triple negative breast cancer. And lastly, there will be a presentation by Dr. Zeynep Eroglu on results from a Phase 1b study of XL888, our oral HSP90 inhibitor in combination with vemurafenib and advanced BRAF-mutant melanoma. We look forward to updating you at ASCO in detail on those clinical trial results and we are planning on providing an overview at ASCO during an investor briefing on Sunday June 5. This event will be webcast live for those who would like to listen in. And with that, I will hand the call over to P.J.
P.J. Haley: Thank you Gisela. As you know, we are just beyond a week out from the approval of CABOMETYX in RCC. And while very early, with the successful first week of launch, our conviction continues to be reinforced that CABOMETYX will achieve rapid uptick in the marketplace. We are very pleased that the first prescription of CABOMETYX was filled on April 28, a mere three days after approval. CABOMETYX is now fully accessible in our distribution channel, which is actively processing and filling new prescriptions that have come in over the last week. Before providing more detail on the CABOMETYX launch, I'll spend a few minutes discussing our cabozantinib experience in RCC in order to set expectations for COMETRIQ moving forward now that CABOMETYX has been approved for advanced RCC. To reiterate what we said on the approval call last week, Exelixis only promotes cabozantinib for its labeled indication which until April 25 was progressive metastatic medullary thyroid cancer. However as you know, physicians in the United States have the independent discretion to prescribe medicines outside their labeling. Going forward, given that the FDA approved label for CABOMETYX states that COMETRIQ and CABOMETYX are not interchangeable. We believe the vast majority of new RCC patients will be treated with CABOMETYX. As you will hear from Chris, we had strong demand for RCC in Q1 without any promotion. This helps us understand a great deal about the RCC market. MTC demand was flat in the first quarter as it has been for the last three quarter. We have observed utilization of cabozantinib for the treatment of RCC for many years now. Today more than 300 healthcare providers have prescribed cabozantinib for the treatment of their late line RCC patients. Following the simultaneous presentation of the METEOR results at the ECC/ESMO meeting in Vienna, and publication of the data in the New England Journal of Medicine, we have seen significant growth in both the number of cabozantinib RCC prescribers and new patient starts. In fact, approximately three quarters of the cumulative prescribers of cabozantinib for RCC wrote a prescription for the first time since the ECC/ESMO meeting and in the last two months alone approximately a 100 healthcare professionals wrote their first prescription. Based on the METEOR data, in November 2015, the MCCN guidelines were updated to include cabozantinib with a category wanted recommendation, which has led many insurance plans to update their coverage policies. In the roughly 30 weeks since the data were presented, we have seen more than a 6-fold increase in new patient starts and over a 6-fold increase in new physician adoption relative to the same time period leading up to ECC/ESMO. This experience with cabozantinib in RCC gives us perspective on some key performance metrics such as duration of therapy which is often difficult to predict for newly launched products. The duration of therapy we are seeing for RCC patients in the commercial setting is similar to the duration of therapy observed in the METEOR trial which was 7.6 months for the cabozantinib ITT population at the time of the primary analysis. Furthermore, we have seen dosing trends demonstrating that approximately 95% of cabozantinib scripts in RCC since ECC/ESMO are being written at the recommended starting dose in the METEOR trial of 60 milligrams. The bottom line is that we have owned a great deal about the advanced RCC market and expect to build on the early momentum as we move forward. Let's now move on to review the details on the very early phases of the CABOMETYX launch. As I mentioned, it was very gratifying to see our first script filled and shipped to the patient within the first 3 days of approval. Our sales force began calling on customers last Tuesday. We were very pleased with the access to accounts we are achieving both with academic and community practices. And the feedback we are receiving from physicians on the data in our label is very positive. Physicians and other healthcare professionals are impressed with the overall survival data that are welcoming the approval of CABOMETYX as it is the first and only therapy and second line renal cell carcinoma that is demonstrated in the randomized Phase 3 trial significant improvements in the Trifecta of efficacy end points, namely overall survival, progression free survival and objective response rate. This is consistent with our market research that indicates that the METEOR data and the unique mechanism of action of CABOMETYX are highly differentiating in the marketplace and very compelling to physicians. This research consistently indicates that overall survival and progression free survival for the most important product attributes in selecting a therapy for advanced RCC. A recently published decision resources report on RCC also confirm this finding. 60 surveyed oncologists gave OS and PFS ratings of 9.2 and 8.5 respectively in terms of importance on a scale of 1 to 10 demonstrating that both endpoints for very important efficacy attributes. From a marketing perspective, we have all of our promotional tools ready to promote CABOMETYX across multiple channels and media. Thanks for the tireless work of our team, many of these tactics has been rolled-out in the first week of our launch. In fact, we had a very effective promotional presence at the Oncology Nursing Society Annual Meeting this past weekend in San Antonio that which we had a promotional boot and conducted a successful and well attended product theatre on CABOMETYX. Exelixis also has comprehensive plans in place to take full advantage of the upcoming ASCO meeting as an opportunity to reach and educate a large number of oncologists during the crucial early phase of the CABOMETYX launch. I would like to remind you that patient access and assistance is an extremely high priority for Exelixis. So we will of course continue to provide assistance through our Exelixis access services or ease program to patients. Through ease we provide co-pay assistance to qualified commercially insured patients to help minimize out of pocket costs. We provide free drug to uninsured patients that need certain financial criteria and we make contributions to independent co-pay assistance foundations to help patients that don't qualify for our co-pay assistance program. We also provide comprehensive reimbursement support services such as prior authorization support, benefits investigation and if needed appeal support. The programs have been designed to be best-in-class as ensuring patient access to our drugs is a top priority for Exelixis. So in summary, we're pleased to have made CABOMETYX a commercially available therapy for patients with advanced renal cell carcinoma and thrilled that we shipped drug to our first patient within 3 days of approval. I would like to sincerely thank our commercial team for the tireless work preparing for and executing the launch. We are excited to compete for every eligible patient so that CABOMETYX can address the significant unmet medical need in advanced RCC. With its unique MOA and differentiated data the Trifecta of improvement in overall survival, progression free survival and objective response rate in our label CABOMETYX is well positioned to achieve rapid uptake in the marketplace. Now I'll turn the call over to Chris.
Chris Senner: Thank you P.J. Net revenues for the quarter ended March 31, 2016 were $15.4 million compared to $9.4 million for the comparable period in 2015. As a reminder, in the first quarter of 2015 we changed our revenue recognition from sell through to selling and included approximately $2.6 million of deferred revenue in the first quarter of 2015 results. Net revenues for the first quarter of 2016 consisted of $9.1 million of net product revenue related to the sale of COMETRIQ. $5 million of contract revenues for a milestone earned for Merck related to their worldwide license of our PI3K-Delta program and $1.2 million of license revenues as a result of the amortization of the $200 million upfront payment we received from Epson under our collaboration and license agreement. First quarter 2016 COMETRIQ net product revenue declined by approximately $800,000 or 8% when compared to fourth quarter 2015 net product revenue. As I mentioned on the fourth quarter earnings call, wholesaler inventory increase by approximately 160 cartons from the third quarter 2015 levels. In the first quarter of 2016, the wholesaler reduced their inventory by approximately 160 cartons which was the primary driver in our net product revenue decline. This wholesaler inventory reduction was partially offset by an increase in demand. I like to take a moment to give you a bit more insight into the increase in demand during the first quarter. We experienced an overall 33% or an approximate two 200 carton increase in U.S. demand for COMETRIQ as compared to the fourth quarter of 2015 which was primarily driven by demand by an increase in prescriptions filled by patients with our advanced RCC. In the first quarter 2016, there were approximately 400 cartons shipped to U.S. RCC patients, meanwhile carton demand for U.S. thyroid patients remained relatively flat when compared to the first quarter and fourth quarter of 2015. Research and development expenses for the quarter ended March 31 2016 were $28.9 million compared to $22.3 million for the comparable period in 2015. The increase was primarily related to an increase in stock based compensation expense for performance based stock options and an annual bonus made to our employees in the form of fully invested restricted stock units. An increase of personal related expenses resulting from an increase in headcount primarily related to build out of our MSL organization and an increasing consulting and outside services for medical affairs and drug safety. Selling, general and administration expenses for the quarter ended March 31 2016 were $34.9 million compared to $9.5 million for the comparable period in 2015. The increase was primarily related to an increase in personal related expenses resulting from an increase in headcount, the majority of which is a result of the expansion of our U.S. commercialization, higher marketing expenses, which includes a portion of the COTELLIC to virtualization expenses under the collaboration with Genentech. Consulting and outside services expenses which includes an approval for termination fee due to Sobi, our European distributor COMETRIQ and stock based compensation expense for performance based stock options and an annual bonus made to our employees in the form of fully invested restricted stock units. Other income and expense net for the quarter ended March 31, 2016 was a net expense of $12.2 million compared to $12.4 million for the comparable period in 2015. The net expenses comprised primarily of interest expense which includes $7.2 million of non-cash expense related to the excretion of the discounts on both 4.25% convertible senior subordinated notes due 2019 and the Company's indebtedness under the Deerfield notes for the quarter ended March 31, 2016 as compared to $7.7 million for the comparable period in 2015. Net loss for the quarter ended March 31, 2016 was $61.3 million or $0.27 per share compared to $35.2 million or $0.18 per share for the comparable period in 2015. The increased net loss for the quarter was primarily due to increases in selling, general and administrative expenses and research and development expenses partially offset by an increase in net revenues. Cash, cash equivalent, short and long-term investments and short and long-term restricted cash and investments totaled $407.6 million at March 31, 2016, which increased from $253.3 million at December 31, 2015. As a result of the $200 million upfront payment we received from Epson in connection with our February, 29, 2016 license agreement. Now turning to our financial guidance for 2016. We are reiterating our guidance provided on the Q4 2015 call that total cost and operating expenses for the full year will be between $240 million and $270 million. This guidance includes $30 million of non-cash costs and expenses related primarily to stock based compensation expense. And with regards to our cash in 2016, the upfront payment and anticipated milestones from Epson has put us in a very strong position. As we outlined on our fourth quarter 2015 call, we will not be providing cash guidance for this year because revenue variables make extremely difficult to predict a final cash position. We're on the cash above an anticipated dynamic launch of and revenue contribution from CABOMETYX and advanced RCC here in the U.S. and we’re receiving meaningful royalty revenues from COTELLIC. With the cash we had to start the year, discipline expense management including the costs associated with launch of CABOMETYX in the U.S. for advanced RCC and anticipated amounts from Epson, we are projecting that will be in a very healthy cash position at year end. I'm pleased with where the company is sitting currently from a financial perspective. We now have an even clearer path to becoming cash flow positive. We look forward to updating you with our revenue and overall financial performance over the course of this year. And with that, I'll turn the call back over to Mike.
Mike Morrissey: All right thanks Chris. The first quarter of 2016 along with April have been extremely productive and have witnessed the achievement of major milestones that have already begun to dramatically shape our future. The approval of CABOMETYX and advanced RCC represents substantial progress in our vision to build a broad cabozantinib franchise that addresses unmet medical needs in commercially meaningful markets. With the resources we have in hand, we are in a strong position to execute on the next key drivers of our business specifically first, the continued launch of CABOMETYX and advanced RCC in the U.S. This includes fully leveraging the opportunity that ASCO 2016 provides and further reaching the oncology treatment community at this critical stage. Second, support of our partner Epson has been there for the EU approval of cabozantinib and advanced RCC. And third accruing patients into the CELESTIAL trial in HCC to reach our target for data in 2017. We are making very significant strides in our efforts to bring new therapies to people with cancer who we individually and collectively aim to serve. And I am personally very excited about what 2016 to look like going forward from today. Before we close I want to again thank everyone in Exelixis for their individual and combined efforts in helping us reach the important milestones that we discussed today. I'm especially pleased to welcome all of our new employees and I look forward to working with them and the rest of the team as we together take our company, our culture and our business to the next level. So thank you for your time this afternoon and your interest in Exelixis. And we're now happy to open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Eric Schmidt from Cowen & Company. Your line is now open.
Eric Schmidt: Thanks and congrats on all the recent progress. Maybe for P.J. it sounds like you have a fair bit of insight based on a soft label experience for COMETRIQ and RCC. Do you know things like the compliance rates, the line of therapy that the drug is typically being prescribed and what type of physician prescribers are utilizing the therapy?
P.J. Haley: Yes, thanks for the question. I’ll first say just we're very pleased with the launch, the date and the label which is very differentiated in terms of our trifecta of efficacy improvements in overall survival, progression free survival and objective response rate, what we're hearing generally in the field although it’s very early days is that this is being really well received by physicians. So as far as some of the metrics go, what we have seen in the cohort of patients and I emphasize that it's an early look right into things is that since ECC/ESMO as I mentioned the dose being used is 95% at 60 milligrams and we've seen a compliance rate in that same cohort again which is preliminary of about 90%, so we're getting a good sense of that data and how it's playing out in the commercial settings, we’re very confident in that. And as I mentioned earlier the momentum we're seeing is certainly encouraging with regards to a six-fold increase in new prescribers, in new patients in the post ECC/ESMO setting relative to that similar setting or that similar time period, excuse me, before ECC/ESMO - which is also very encouraging. We're also happy that our distribution channel is up and running and filling prescriptions and what's been sort of gratifying is that we've seen and heard many stories already about physicians wanting to fill the drug and our team working together to make that happen in some cases collectively across sales and market access within 24 to 48 hours. It was just fantastic, we've had our first commercial co-pay assistance script billed which is great news and our team just continues to fight for every patient, every script every day.
Eric Schmidt: So the average duration of therapy that you quoted of around 7.6 months that was also observed in METEOR, is that the average duration for all off label COMETRIQ patients or is that specifically for the second line population?
P.J. Haley: Yes, so I'll say that’s specific to RCC, generally speaking, and what we've seen in our commercial experience, but we're not really breaking that out by line of therapy.
Eric Schmidt: Can you say whether you've seen predominately second or third or a mix of the two lines?
A – P.J. Haley: Well, I guess what I say generally, kind of referred to this in the prepared remarks, is our historic use prior to our approval last week. We believe and hear anecdotally that it's primarily in later lines of therapy, right, so the third and fourth line and beyond. So that's what we…
Eric Schmidt: That's encouraging that you're still in those later lines and you're not sacrificing anything in duration. Maybe just one last quick one for either P.J. or Chris. Just on the MTC sales for COMETRIQ. Would you expect to see that decline substantially in the next few quarters and to what extent if you can help us?
A – Chris Senner: This is Chris, Eric. So the way we’re looking at it, so we gave you all the metrics that are around the RCC demand that's going on, so we did see a 200 unit or 200 carton increase in demand from the fourth quarter to the first quarter. We saw approximately 400 units prescribed in the first quarter for RCC patients. And the way we’re looking at is as P.J. mentioned and I mentioned that the thyroid demand has remained relatively flat for the last several quarters or going back to even the first quarter of last year. And then we feel that you have all the numbers there to come up with what the COMETRIQ demand is outside of RCC. Just one other thing too is, we did this in order to give everybody insight into the demand that's happening with COMETRIQ and we don't feel there's an obligation going forward that we're going to update this information. But we just want to make sure everybody have a good understanding of what the market dynamics are for COMETRIQ.
Eric Schmidt: Thank you very much.
Operator: And our next question comes from the line of Stephen Willey from Stifel. Your line is now open.
Stephen Willey: Yes, thank you for taking the question, I appreciate all the commentary around the pre-launch utilization. Just wondering if you guys are anticipating there would be a meaningful stocking benefit embedded into the Q2 number just given the recent shipment to wholesalers. And then also along those same lines, if there's anything on the revenue recognition front that we should be aware of during the early staging and launch.
Mike Morrissey: Steve, it's Mike, you are breaking up a little bit. There's some pretty serious background noise there so I think Chris can probably try to answer both of those, Chris could you get those questions?
Chris Senner: Steve, I think what your question was will there be significant stocking and also was there revenue recognition. So two things, so to answer both of those things, we don't expect a large stocking to happen in the trade. It's not - it's going to be through primarily through specialty pharmacy, so we don't see that there'll be a large stocking in those. We have product at our distributor and it can be out to the trade both the specialty pharmacies and specialty distributors pretty quickly. So we don't expect a large stocking now. On the revenue recognition, we are still working through some of that with our auditors and we will be able to update you more obviously in the next quarter call when we start recognizing revenue but we are working through that with our auditors at this point in time.
Stephen Willey: Okay, thank you. And sorry for the background noise. And then just one last question with respect to cabozantinib and whether or not you can just provide any color around what the profit share or perhaps gain would look like in 1Q. Thanks.
Chris Senner: Steve, this is Chris again. So the actual - there was a loss in the quarter $7.3 million. There was some current period cost in there, which was approximately $4 million and then there's some catch-up from prior periods that we accrued for, that - we were charged by Genentech in the quarter. So overall again $7.3 million in the quarter loss that we ran through our SG&A line or…
Stephen Willey: Okay. And maybe just a follow-up [indiscernible], just wondering as you helped to co-promote this drug, where you're seeing the most amount of traction, just with respect to adoption. There was obviously another BRAF/MEK combo that's already in the marketplace, and we hear from physicians that some of the [hierarchy] [ph] issues are kind of unmanageable, and they're looking for another treatment option in that regard. But just wondering if what you're seeing initially, and I kind of understand it’s early days, but if you're seeing a lot of utilization as a result of some of the tolerability issues or if you are actually seeing [indiscernible] front-line regimen of sorts. Thanks.
Mike Morrissey: Yes, thanks for the question, I'll emphasize for the COTELLIC launch also relatively early days. And as we've talked about historically and certainly the VRAF positive metastatic melanoma market is very competitive with multiple PD-1 immunotherapies available, Ipilimumab and as you mentioned the competitor combination from Novartis. So what we've seen is solid uptake, it's a little early to really tell what type of patients we're getting as it's only really been a few months, but pyrexia has certainly been an issue to an extent for the competitor. But as we're out kind of talking about the data and educating physicians, I'd say we're making progress although it is steady and as we've kind of talked about it so relatively small and competitive marketplace.
Susan Hubbard: Operator, why don't we go ahead and take the next question.
Operator: [Operator Instructions] And our next question comes from the line of Michael Schmidt from Leerink Partners. Your line is now open.
Michael Schmidt: Thanks for taking my questions and congrats on the launch as well. Maybe a brief follow up on COBI, I guess looking at your guidance for the year do you assume a loss for COBI for the full year.
Chris Senner: Yes, Michael, it's Chris. We are assuming a loss for COBI for the full year. It's included in our total SG&A guidance or total guidance and it's included in the SG&A line for this year.
Michael Schmidt: Okay, thanks. And then just to clarify how much - how many vials I guess or patient supply is in a carton of Cabo?
Mike Morrissey: Yes, a carton is the unit for COMETRIQ and a carton is – CABOMETYX, sorry, CABOMETYX is a bottle and that's a 30 day supply, thirty tablets in a bottle for any given dosage strength.
Michael Schmidt: Okay. And for COMETRIQ, how much is one carton.
Mike Morrissey: A carton of COMETRIQ again 28 day supply in that case.
Michael Schmidt: I see, so one month. And then another question more specifically you have a lot ongoing with CTEP that's why I even get a sponsored study. Once to get your sense of how high the hurdle is now to potentially run some company sponsored trials as data emerge from those studies.
Susan Hubbard: Well I think the, CTEP IND program stands a total of - as mentioned earlier around of 45 ongoing of client studies and these are the most part Phase 2 studies, are their single arm studies or combination studies or randomized Phase 2 studies and also Phase 1b studies. So I think these studies provide a very nice portfolio to help us prioritize indications and perform initial signal searching in additional indications and can provide the basis for future late stage development.
Mike Morrissey: Yes, Michael its Mike, maybe I can provide little bit more color. I think the gate here for us moving from what we have in the CTEP portfolio in the company sponsored, larger randomize Phase 2 or potentially pivotal trials that gave the definite obviously good data, the right analysis around competition, the commercial opportunity. So the full picture on what that investment might look like and entail including whatever upside could result from that. So we've got a full team in place now between developments, regulatory, commercial and finance to be able to put together, I think very strong business case based upon kind of our generic expertise of the company, so we'll be doing the full analysis on any opportunity going forward with the bigger picture in mind, right. So, and that's where we're at right now, I think we're very excited about that and ready to start doing that now that we've got some of these very important milestones behind us.
Michael Schmidt: All right, great. Thank you very much.
Operator: And at this time there are no further questions. I would now like to turn the call back to Ms. Susan Hubbard for any further remarks.
Susan Hubbard : Thank you, Rhonda and thank you all for joining us today. We welcome your follow-up calls with any additional questions you may have.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a wonderful day.